Operator: Thank you for standing by, and welcome to Bed Bath & Beyond's fiscal fourth quarter and fiscal year 2005 results conference call. (Operator Instructions).  Now at this time I’d like to turn the conference over to Ron Curwin, Senior Vice President of Bed Bath & Beyond. Mr. Curwin please go ahead.
Ron Curwin: Thank you and good afternoon. Welcome to Bed Bath & Beyond's fiscal fourth quarter of 2005 conference call. Within the past hour we issued a press release covering our results for the three and 12-month periods ended February 25, 2006. During this call we will discuss our fourth quarter highlights and update guidance for fiscal 2006, which will be a 53-week year ending March 3, 2007.  Before proceeding, I will read the following statement, and I quote: "Bed Bath & Beyond's fiscal fourth quarter press release and comments made during this call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended. Many of these forward-looking statements can be identified by the use of words such as may, will, expect, anticipate, estimate, assume, continue, project, plan, and similar words and phrases. The Company's actual results and future financial condition may differ materially from those expressed in any such forward-looking statements as a result of many factors that may be outside the Company's control. Please refer to Bed Bath & Beyond's SEC filings, including its Form 10-K, for the year ended February 26, 2005. The Company does not undertake any obligation to update its forward-looking statements." Len Feinstein, Co-Chairman of Bed Bath & Beyond, leads off today's call. Steven Temares, Chief Executive Officer, and a Member of the Board of Directors, will follow Len. The earnings guidance and some additional financial commentary will conclude today's call. I'm now very pleased to introduce Leonard Feinstein.  Len.
Leonard Feinstein: Thanks Ron. As many of you have read in our press release issued within the past hour, Bed Bath & Beyond, during fiscal 2005, achieved its 14th consecutive year of record earnings since becoming a public company in 1992.  We are particularly pleased with our results, as they were achieved at a time when other retailers operating in our sector continued to experience difficulties. We are proud that, in terms of earnings growth, cash flow generation and overall financial strength, our performance continues to be one of the most consistent, regardless of industry, among all public companies. Our continuing store opening and relocation programs, exciting new merchandise initiatives and superior customer service will be significant growth drivers for years into the future. During fiscal 2005, we opened 83 new Bed Bath & Beyond stores, bringing to 742 the number of stores operating at fiscal year end, located in 48 states, the District of Columbia and Puerto Rico. In the fiscal fourth quarter, 17 Bed Bath & Beyond stores were opened. As we had previously pointed out, in order to accommodate all of the merchandise assortments, the average size of the Bed Bath & Beyond stores opened in fiscal 2005 were somewhat larger than those opened in each of the three preceding fiscal years.   We also opened three Christmas Tree and four Harmon stores in fiscal 2005, bringing their store totals at fiscal year end to 29 and 38 respectively.   Consolidated stores base as of February 25, 2006 was approximately 25.5 million square feet. We will continue our long-standing strategy of refining the size of our new stores to best meet the needs of the particular markets being served.  We will also continue to upgrade existing stores to further enhance our customers' shopping experience. Our new stores, as a group, continue to meet their sales productivity and earnings targets, and we are confident that they will continue to achieve their performance goals as they grow and mature. Although we will never be satisfied, we are pleased that our stores continue to improve over time and have never been better than they are today.  We will continue to execute our store roll out program, and anticipate opening approximately 80 Bed Bath & Beyond stores in fiscal 2006.  Four of these have already been opened. The opening of six Christmas Tree Shops, continued development of our Harmon concept, and a relocation or expansion of certain existing stores are also planned for 2006. We are also pleased to note that our fiscal 2005 share repurchase program, authorized by our board of directors in the aggregate amount of $600 million was substantially completed prior to our fiscal year end.  Since our first ever share buy back program was announced and completed in fiscal 2004, our company has returned approximate $950 million to shareholders.  These actions enhance shareholder value and reflect our board's confidence in the future of our company. We have been debt-free for a decade.  Even after deducting cash used for our store opening and improvement programs,  ongoing infrastructure enhancements and the share repurchase program, cash equivalents and investment securities totalled about $1 billion at fiscal year end. We believe that home goods continues to be one of the most attractive sectors in all of retailing, as our consistent results attest.  The ongoing restructuring of the home goods sector presents Bed Bath & Beyond with exciting opportunities for continued success, and we fully intend to exploit them. Despite our substantial growth, our share of the estimated $100 billion home goods market remains relatively modest, and we expect to further increase our share.  Based on our most recent real estate analysis, we have updated a number of Bed Bath & Beyond stores targeted to open in the United States.  We now anticipate that we can grow to approximately 1,300 Bed Bath & Beyond stores in the United States, in addition to continuing the expansion and integration of our Christmas Tree and Harmon store concepts. Our superior customer service, expanded information technology capabilities, new merchandising initiatives and developing concepts significantly adds to our potential to create a much larger, more successful retailing business. Other possible opportunities include the international expansion, acquisitions and additional share repurchases continue to be regularly and systematically explored. For 35 years, our decentralized culture has been the foundation for our long-term record of outstanding financial performance.  Our entire organization remains dedicated to the attainment of our ambitious long-term objectives.  We have the organization and the financial strength to take advantage of profitable opportunities as they appear in the future.  We are pleased that our fundamental performance has continued at a very high level.  We believe that through the efforts of our associates this will continue. We are confident that fiscal 2006, which began about five weeks ago, will be our best year ever.  I will now turn the call over to Steven Temares.  Steve.
Steven Temares: Thank you, Len.  Good afternoon and thank you for participating in this conference call.  Within the past hour, we were pleased to have reported a solid fiscal fourth quarter and fiscal 2005.  As we have said for the last 14 years, our primary financial goals have always been and remain the generation of stronger earnings, combined with a solid balance sheet and positive operating cash flow. To briefly touch upon the highlights, EPS for the fourth quarter, which includes the expenses associated with the early adoption of the FAS-123-R new stock option accounting rules, and related compensation plan changes were $0.67 per share, an increase of approximately 13.6% from the $0.59 per share earned in the final quarter a year ago.  Had we not early adopted 123-R and not made our related compensation plan changes, EPS for the fourth quarter would have been approximately $0.70 per share, up about 18.6%. For the full year, EPS -- which includes the expenses associated with the early adoption of 123-R beginning in the fiscal third quarter -- and related compensation plan changes, were $1.92 per share, an increase of approximately 16.4% from the $1.65 per share earned in fiscal 2004.  Had we not early adopted 123-R in mid-year, and not made our related compensation plan changes at the beginning of the year, EPS for fiscal 2005 would have been approximately $1.98 per share, up by about 20%. These results continued our record of uninterrupted earnings growth, since our June 4, 1992 IPO.  As I cannot emphasis enough, this is a tribute to the talents and accomplishments of our over 33,000 associates who daily take the core principle of customer service and seize the opportunity and empower it, of our decentralized structure, to make Bed Bath & Beyond a better company. We continue to work to offer our customers a constantly evolving and improving shopping experience, featuring a wide range of attractive, desirable merchandise at everyday low prices, accompanied by knowledgeable, attentive, helpful service. Operationally, we have maintained our focus on selection and service while achieving industry-leading margins, profitability and return on capital. Our performance for about three-and-one-half decades has been based on placing the interests of our customers first.  As we continue to improve and grow our company, we will continue to strive for long-term, profitable performance based on prudent planning and superior execution. The powerful organization which we continue to build gives us ample reason to look forward to our future with a great deal of confidence. Consolidated net sales for the 13 weeks ended February 25, 2006 were approximately $1.685 billion, or about 14.8% higher than in the corresponding quarter a year ago.  Fourth quarter consolidated comp store sales increased by 6.3% on top of a 5.1% comp achieved a year ago. Comp store sales for the fiscal fourth quarter also improved over those achieved during the hurricane-affected fiscal third quarter. We strongly believe that our fiscal fourth quarter results, accomplished as they were, during a period when others in our sectors -- and for that matter, in other retail sectors -- were reporting soft sales and earnings, and were reducing earnings guidance further validates our successful business formula, and again demonstrates our unique culture and its resultant abilities to execute effectively. For all of fiscal 2005, consolidated net sales advanced to $5.81 billion, about 12.9% higher than the $5.148 billion achieved a year ago.  Consolidated comps for fiscal 2005 grew by 4.6% compared with 4.5% a year ago.  The gross profit margin for the full year, including a slight improvement in the fiscal fourth quarter, improved by approximately 30 basis points, primarily due to lower inventory acquisition costs.  This is the fifth consecutive year of gross profit margin improvement. Selling, general and administrative expenses for the fiscal fourth quarter were about $442.9 million, or 26.3% of net sales, compared with approximately $366.9 million, or 25% of net sales, in the corresponding quarter a year ago. SG&A deleveraged by approximately 130 basis points for the quarter, and by 60 basis points for the fiscal year. The deleveraging of SG&A is primarily from the expensing of stock options and the related changes in our compensation program, reflecting our early adoption of the revised stock option accounting rules.  As a result of the full year deleveraging of SG&A, partially offset by the improvement in the gross profit margin we experienced, as previously forecasted, an approximately 30 basis point reduction in our operating profit margin from 15.4% to 15.1%. The operating profit margin for the fourth quarter was lower by approximately 120 basis points, again reflecting the accounting changes. As Len noted, we have substantially completed the $600 million share repurchase program we authorized in 2005.  Our balance sheet at February 25, 2006 was strong, free of debt and we continue to be cash flow positive.  In our opinion, our financial flexibility continues to provide us with a distinct competitive advantage. Len also commented earlier about the successful completion of our 2005 new store opening program.  We currently anticipate opening approximately 80 Bed Bath & Beyond stores in fiscal 2006, as well as six new Christmas Tree Shops and continuing to develop our Harmon concept.  By taking a long-term approach to building the Bed Bath & Beyond, Christmas Tree Shops and Harmon concepts and by making substantial investment for infrastructure to ensure a solid foundation to support a growth objectives, we expect that all aspects of our business will continue to contribute significantly to the achievement of our goals in the years ahead. Over the last 14 years, including the four stores opened since the beginning of our current fiscal year, Bed Bath & Beyond store count has grown from 34 stores in nine states to 746 stores in 46 states, and District of Columbia and Puerto Rico.  During this time, we have vastly improved our infrastructure.  Our company has never been stronger our better positioned to compete. So to recap, Bed Bath & Beyond's fiscal fourth quarter produced record EPS of $0.67, about 13.6% higher than a year ago on a 14.8% increase in net sales, and a 6.3% gain in same-stores sales.  For the full year, EPS of $1.92 a share, up about 16.4% from fiscal 2004 on a net sales increase of approximately 12.9% and accounts to our sales increase up 4.6%. Again, had we not early adopted 123-R and not made the changes to our compensation plan, our EPS increases would have been still higher on a comparable basis for the fourth quarter and the full fiscal year. Fiscal 2005, with its opportunities and challenges, was successful by any measurement and finished stronger than we had earlier projected.  We remain steadfast in our dedication to serving our customers, and by so doing achieving all of our performance objectives in fiscal 2006. Our people, the culture they have created and their outstanding efforts in serving our customers are the principal reasons for our success, and we should never lose sight of this.  To all of our associates and other business partners, I want to say thank you for the great job you did in 2005. At the conclusion of this call, Ron and Ken Frankle, our director of financial planning, will be in their offices to take your questions.  Ron.
Ron Curwin: Thanks, Steve.  As you heard from Len and Steve, we are pleased with the record results of our fiscal fourth quarter and full year 2005.  Turning to our fiscal 2006 guidance, as many of you will recall, the changes in our compensation plan and revised stock option accounting, which has become required of all companies, will continue to impact earnings comparisons through the first half of fiscal 2006, as they have done in the past six months, as previously disclosed. Through substantially non-cash charges resulting from the implementation of the accounting changes, and other changes made to our overall compensation plan, we will continue to deleverage SG&A expenses in the fiscal first and second quarters of 2006. The resultant impact on earnings continues to be estimated at approximately $0.03 per share in each of the first two quarters of 2006, or approximately $0.06 per share in the fiscal first half of 2006.  Reflecting this and other planning assumptions, we are presently estimating net earnings of $0.35 per share in the fiscal first quarter of 2006, ending on May 27, 2006. Since our first fiscal quarter typically accounts for the smallest portion of our annual earnings, the impact of these new charges on a percentage basis is relatively more pronounced in that period than in any of the other three fiscal quarters. For the fiscal second quarter of 2006, which ends on August 26, 2006 we are presently targeting earnings of $0.51 per share. Again, were it not for the changes in our compensation plan and revised stock option accounting, we would be estimating increases in our EPS for the fiscal first and second quarters of 2006 of approximately 15%.  That is in each quarter. As a reminder, we stated that the changes to our compensation program, which were initiated during the first quarter of fiscal 2005, are expected to have a favourable long-term financial impact, to that which would have otherwise resulted from the application of new stock option accounting rules, had we not changed our compensation program. Also, as we previously pointed out, the changes to our compensation program permits us to continue to reward our people while providing greater predictability and control over a significant element in our business planning. In our December conference call, we said that we were comfortable with our fiscal 2005 EPS target of $1.89; and that, based on a yet to be finalized 2006 business plan, earnings were expected to grow from 10-11% or to about $2.08 to $2.10 per share in 2006. Since December, our fiscal fourth quarter results have come in above plan; we substantially completed our fiscal 2005 share repurchase program; and, as mentioned in our December call, we will be reducing our effective tax rate for fiscal 2006. Considering all of these factors, we are now expecting fiscal 2006 EPS to grow by approximately 13% to about $2.17 per share, based on the following major planning assumptions: Consistent with prior practice, we will update our fiscal 2006 operating plan as may be required during the year, and will provide updated guidance on a quarterly basis. Before concluding this afternoon's call, a few additional comments relative to the just-concluded fiscal 2005. Although we are never satisfied, the out-performance of our company continues to support our optimism as we look ahead with a small but expanding share of the retail marketplace for home goods, and with what we believe is a premiere offering in the retail sector that we serve, Bed Bath & Beyond is poised for profitable growth for years into the future. As a reminder, our next conference call to discuss results for the fiscal first quarter of 2006 and to update our outlook for all of fiscal 2006 will be on Wednesday, June 21, 2006. If you have any questions, Ken and I will be in our offices this evening, April 5th, to take your calls. As always, we very much appreciate your interest in Bed Bath & Beyond.  Have a pleasant evening.